Operator: [Foreign Language] Good morning. My name is Sylvie, and I will be your conference operator today. At this time, I would like to welcome everyone to Cascades Third Quarter 2022 Financial Results Conference Call. Note that, all lines are currently in a listen-only mode. After the speakers' remarks, there will be a question-and-answer session. I will now pass the call to Jennifer Aitken, Director of Investor Relations for Cascade. Ms. Aitken, you may begin the conference.
Jennifer Aitken: Thank you, and good morning, everyone. Thank you for joining our third quarter 2022 conference call. We will begin with an overview of our operational and financial results, followed by some concluding remarks, after which we will begin the question period. Today's speakers will be Mario Plourde, President and CEO; and Allan Hogg, CFO. Also joining us for the question period at the end of the call are Charles Malo, President and COO of Containerboard Packaging, Luc Langevin, President and COO of Specialty Products; and Jean-David Tardif, President and COO of Tissue Papers. Before I turn the call over to my colleagues, I would like to highlight that certain statements made during this call will discuss historical and forward-looking matters. The accuracy of these statements is subject to risk factors that can have a material impact on actual results. These risks are outlined in our public filings. These statements, the investor presentation and the press release also include data that are not measures of performance under IFRS. Please refer to our Q3 2022 investor presentation for details. This presentation, along with our third quarter press release can be found in the Investors section of our website. If you have any questions, please feel free to call us after the session. I will now turn the call over to our CEO. Mario?
Mario Plourde: Thank you, Jennifer, and good morning, everyone. Our Q3 results met expectations, and we are satisfied with our improved sequential performance in light of unprecedented cost inflation and labor constraints we faced during the year. Company-wide the price increases we have put in place mitigated the impact of persistent cost inflation quarter-over-quarter. We provide a breakdown of the factor impacting our EBITDA level on slide 3. As the number highlight, however, benefits from these and other initiatives like the impact of cost inflation year-to-date by $67 million, the lion's share of which are within our Tissue segment. Moving now to our financial results. On a consolidated basis, third quarter sales increased 14% year-over-year and 5% from Q2, while adjusted EBITDA increased 4% from last year levels and 22% sequentially, reflecting the sales price increases implemented in all our business segments and improved results in our tissue paper business, driven by profitability initiatives. On the raw material side, highlighted on slide 5 and 6, the Q3 average index price for OCC decreased 33% year-over-year and 20% from Q2. Reduced the net levels following lower activity at containerboard mills and less export, led to an excess of fiber in all North American market. This resulted in a rapid decrease in pricing for this grade during the quarter and all of our mills are well supplied. Average index price for white recycled paper grade continued to increase in Q3, up a substantial 60% year-over-year and 7% from Q2. As we have highlighted in the past, these unrelenting cost headwinds have had an important impact on our tissue results. The same can be said about virgin pulp. The hardwood pulp index increased 7% sequentially, while the softwood pulp index price rose a more moderate 3%. Year-over-year, these indexes have increased by 23% and 17%, respectively. While the market remains challenging for the white fiber grade with prices remaining high, we have begun to see some easing in the recent weeks and our mills are adequately supplied. Moving now to the results of each of our business segments, as highlighted on page seven through 14 of the presentation. Beginning with the sequential performance, sales in the containerboard increased 5% in Q3. This was largely driven by higher selling prices for both parent rolls and converted products, higher volume levels and the beneficial exchange rate. The 3% volume increase reflects an 8% increase in shipments of parent rolls and a 1% decrease in converted product shipments. Sequentially, converting shipment decreased by 1.9% in Canada, outperforming the 3.1% decrease in the Canadian market. US converting shipment increased 1.1%, well above the 3.8% US market decrease. On a per day basis, our total converting shipments were stable sequentially. This outperformed the decrease of 3.2% in the Canadian market and 5.3% in the US market. Q3 adjusted EBITDA of $103 million or 17.3% on a margin basis was 4% above the Q2 levels. This reflects benefits from higher selling price and lower raw material costs, offsetting higher energy costs and less favorable sales mix in the quarter. Year-over-year, sales increased by 17%, driven by pricing and volume. Adjusted EBITDA increased by 10% for the same reason, I just mentioned. Year-over-year, shipment increased by 4%, reflecting a 9% increase in external parent roll shipments and a 1% decrease in total converting shipments, mainly driven by lower volume in the Canadian market. On a per day basis, our global converting shipments were also stable, outperforming the 4.5% decrease in both the Canadian and the US market. Moving now to our Bear Island project. We are continuing to make good progress during the quarter, and we are preparing the commissioning of certain key equipment. Despite the progress in the construction over the past three months, the supply chain constraint that delayed certain construction milestone in Q2, continue in the current quarter. As a result, startup of the machine is now scheduled for Q1, 2023 [ph]. A multiyear project of this magnitude is complex in the best of time and was made even more so by cost inflation and supply chain and labor constraints. We are focused on starting up the facility and ramping up production. Given this slightly modified time line, 2023 production is expected to total 265,000 short term and adjusted EBITDA is forecast to be US$20 million to US$30 million. Under current market condition, total expected returns for the project remains within our target and despite the higher project cost level. Continuing with our packaging business, Q3 sales levels in our Specialty Products segment were stable sequentially. This reflected the implementation of price increases in response to cost inflation and a favorable exchange rate the benefit of which offset lower volume. Adjusted EBITDA was also stable sequentially as higher selling prices mitigated the impact of related to volume and sales mix as well as higher production and energy costs. When compared to the prior year, Q3 sales increased by $24 million or 17% and adjusted EBITDA levels increased by $8 million or 47% as a higher realized spread more than counterbalance a slightly less favorable volume and sales mix and higher operating costs. We are pleased with the performance trends of the Specialty Products business this year, which reinforced the progress being made toward meeting a targeted margin range of 17% to 19% by 2024. I -- moving now to our tissue business, sales increased 12% sequentially in Q3, while adjusted EBITDA level improved $12 million to $4 million. Top line growth was driven by pricing and sales mix initiative, higher volume and favorable exchange rate. Sequentially, improvement was largely driven by benefit generated by improvement in selling prices offsetting higher costs for energy and raw materials. Year-over-year, sales level rose 11% with pricing and sales mix initiatives offsetting the impact from lower volumes. Adjusted EBITDA decreased €8 million, year-over-year, mainly due to higher raw material costs offsetting benefit from our profit initiatives. We have provided an update on our tissue profitability plan initiative on Slide 14. The impact of rapid escalating costs in this business has been unrelenting and pronounced in 2022 and the financial performance of this business year-to-date clearly demonstrate the immediate effect that this has add on results ahead of benefit being realized from corrective measures. Pricing and other cost-saving initiatives continue to be implemented to offset these headwinds. And we are expected to generate additional positive upside in the fourth quarter throughout 2023. To this end, we are focusing adjusted EBITDA of $8 million to $12 million for the segment for the fourth quarter. This outlook, however, implies that the Tissue segment will not achieve the objective of $25 million to $40 million of the adjusted EBITDA for the calendar year 2022. Notwithstanding this, we continue to expect that these initiatives will allow the tissue segment to deliver on its long-term 2024 target. Allan will now discuss the main highlights for our financial performance, after which I will conclude our presentation. Allan?
Allan Hogg: Yes. Thank you, Mario, and good morning. Slide 15, 16 illustrate the specific items recorded during the quarter. The main items that impacted operating income before depreciation were $14 million of impairment charges in our Tissue segment related to the decision to permanently close the ATMOS Tissue Mill that ceased operation in 2020. It also includes a $10 million foreign exchange loss on long-term debt and financial instruments, a $3 million unrealized loss on financial instruments, and the $2 million of impairment charges in our Containerboard segment related to asset optimization initiatives in Ontario. Slide 17 and 18 illustrate the year-over-year and sequential volumes of our Q3 adjusted earnings per share and the reconciliation with the specific items that affected our quarterly results. As reported, Q3 net loss per share was $0.02. This compared to net earnings per share of $0.32 last year and $0.10 in Q2. On an adjusted basis, net earnings per share were $0.20 in the current quarter. This compared to a net loss per share of $0.01 in last year's results and net earnings per share of $0.10 in Q2. This variance mainly reflects improved adjusted EBITDA in a reversal of tax assets in Canada in the third quarter of last year. As highlighted on slide 19, third quarter adjusted cash flow from operations decreased by $8 million year-over-year and €62 million and adjusted free cash flow levels decreased by €123 million year-over-year. This reflects stable operating results and significantly higher net CapEx paid in the current period largely associated with our Berlin conversion project. Slide 20 provides detail about our capital investments. Paid capital expenditures net of disposal totaled $121 million in Q3 and $333 million for the first nine months. Of this amount, $83 million was invested in the Bear Island project in the third quarter and $228 million so far this year. For 2022, our total capital investment forecast remains in the range of CAD450 million toCAD470 million, which includes CAD310 million to CAD330 million for the Bear Island project. Moving now to our net debt reconciliation as detailed on slide 21. Our net debt increased by $299 million in Q3. This is a reflection of the combined effect of our terminal investment in Bear Island, higher working capital requirements, and unfavorable FX impact in the period. Our leverage ratio of 6.2 times is up from 5.4% at the end of Q2. As we have mentioned in the past, we expect this leverage trend to reverse with improved operational performance and results and the start-up of the operation at the Bear Island facility. When excluding cash investments made to date in the construction of Bear Island and its negative contribution to operating results, our leverage ratio would stand at approximately 4.9 times. I would highlight that our bank agreement do not include a leverage ratio covenant. This remains the case following the recent amendment to our existing credit facility that we announced on October 19. Specifically, we increased our term loan by $100 million to $260 million and extended the maturity by two years to December 2027. Concurrently, we extended the revolving facility by one year to July 2026. These amendments reinforce our financial flexibility as we complete the Bear Island project. Financial ratios and information about maturities are detailed on slide 22. Sequential and year-over-year sales and EBITDA performance analysis can be found on slide 25 through 28 of the deck. And its historical pricing on slide 29 and 30. Mario will conclude the call with some brief comments, before we begin the question period. Mario?
Mario Plourde: Thank you, Allan. We provide details regarding our near-term outlook on Slide 23 of the presentation. I would remind you that this is based on what we are seeing today and may change in the coming weeks. Our near-term outlook for containerboard is for stable sequential result with lower raw material costs expected to offset softer volume and continued upward pressure on operational costs, driven by inflation. We have scheduled additional downtime, totaling approximately 13,000 short-term on our machine 2 at our Niagara Fall facility to manage inventory level for corrugated medium. This planned downtime followed the 18,000 short-term of downtime already taken in Q3. We also announced that we will be permanently shutting down the corrugator at our Belleville, Ontario facility in December. This decision is part of the continuing optimization initiative of our Ontario asset base and strategically repositioned the Belleville facility as a high-volume graphic sheet plant by redeploying its corrugated product to our other units. We are expecting a stable performance in our Specialty Products segment sequentially with steady volume and selling price trend expected to offset cost inflation pressure. Our outlook for tissue is slightly improved sequential results and a stronger performance year-over-year. The strategic initiatives we are putting in place are meeting our expectations. The exception of this is our productivity volume target, which continue to be in there by labor availability and training. That said, we continue to put in place additional action plan to correct this and help drive meaningful financial and operational benefits going forward. To this end, our long-term 24 target for this business remain unchanged. With that, we can now open the call to questions. Operator?
Operator: [Foreign Language] Thank you. [Operator Instructions] And your first question will be from Hamir Patel at CIBC. Please go ahead.
Hamir Patel: Hi, good morning.
Mario Plourde: Good morning.
Hamir Patel: First one I had was for Charles, could you comment on -- in terms of the reduction in the Bear Island, EBITDA contribution in 2023, how much of that reflected the lower production assumptions? And how much was maybe adjustments you might have made to your price forecast?
Mario Plourde: Well, go ahead, Charles.
Charles Malo: The new assumption that we made is based on the start-up and the ramp-up mainly – these are the sanctions because for the rest -- when we look at the long-term, the promises that we have announced on the projects, they are still the same, so for the long-term.
Mario Plourde: So Hamir, you will understand that we will not provide details of the assumption yields in that. But as Charles mentioned, the important point is it doesn't change the long-term outlook on this.
Hamir Patel: Okay. Fair enough. And Charles, there's been some commentary in the trade press about recycled prices declining. Has that been your experience so far in your open market sales? And then can you just remind us your box prices tied to the kraftliner benchmark, or are some of them tied to some recycled pricing?
Mario Plourde: Okay. So you understand I'm not going to comment on specifics on pricing, especially forward-looking and things like that. I can talk about what we're experiencing right now. So the grades that we're selling today with whether it's going to be Bear Island or Greenpac, our high-grade, high performance. So, we don't follow new indexes. So as you see in our results -- as we speak right now, our pricing has been maintaining as we know today.
Hamir Patel: Okay. Fair enough. And just a final question I have for Allan. Just given the elevated leverage here, are there any covenants that may be of concern that you might be looking to renegotiate?
Allan Hogg: No. There is no concern on -- as I mentioned, there's no leverage ratio in our covenant package, so there's nothing to worry about.
Hamir Patel: Okay. Great. Thanks to head off. I'll get back in the queue.
Allan Hogg: Thank you.
Operator: Thank you. Next question will be from Sean Stewart at TD Securities. Please go ahead.
Sean Stewart: Thank you. Good morning. With respect to Q4 guidance, a little surprised that it's tempered and I appreciate there's extra downtime plans and other cost inflation factors. But with OCC collapsing to the extent that it has, I guess, how much of that decline in OCC do you expect to see in Q4, or should we think of that as more of a first half of 2023 benefit for your margins?
Charles Malo: So I just want to mention on the overall guidance for our results. We are being cautious also considering the market condition today. So, we are not seeing the uptake that we usually see this time of the year for seasonal pickup. So we're being -- part of this is -- yes, we're being cautious about the results. And when you look at the impact of the OCC or the fiber is about $40 million.
Sean Stewart: For -- sorry, for the next year, or what's the time frame you're referencing there, Charles?
Charles Malo: Sequentially, I mean.
Sean Stewart: Sequentially, okay.
Charles Malo: So there's positive impact of OCC, obviously, but inflation continues on chemical and stuff like that, but we are cautious on the volume side of things.
Sean Stewart: Okay. That makes sense. Allan, any initial views on the 2023 CapEx budget with the Bear Island complete? Any initial thoughts you can give us there?
Allan Hogg: Well, it will be -- CapEx will be limited for next year as the focus will be to complete the Bear Island projects. So there is nothing big next year, so it will be very limited. So we are in the process of evaluating everything and with the business environment, we’ll be very cautious on this next year.
Sean Stewart: Got it. Okay. That’s all I have for now. Thank you.
Operator: Thank you. Next question will be from Paul Quinn at RBC Capital Markets. Please go ahead.
Paul Quinn: Yes. Thanks. Just a follow-up question on Bear Island. That reduced volume is about 20% of the original guide. Just wondering if the expected startup is at the end of Q1 as a result of that, or is that -- when do you expect to start up the machine?
Mario Plourde: We mentioned in our last call that we were still working towards the end of the year. And then we know today that it's going to be in Q1. So we're not going to say they're going to be in January or February or provide the date, but we're aligned to do a good start-up and it's going to be in Q1. One thing I can say is the -- we're at the peak of the amount of people that we have on site. The work is progressing very well. We have fiber on site. The mechanical installation is going very well, and we're focusing right now. We already started, by the way, to do some commissioning as we speak for a certain area in the facility. So we're confident now that we can formalize a bit more at the date in Q1. One thing that I want to say also is that there is less of unknown today than we had three or four months ago, the risks are lower since we're getting closer to the date. Main components are being or installed as we speak. So that's why we're saying that now we're confirming that it's going to start in Q1, but we don't want to provide or any fixed date on that.
Paul Quinn: Okay. Thanks very much on that.. And then maybe just on recovered paper. I think you guys have commented in the past that sustainability of OCC prices down at this level is really not there. Just what your expectation through Q4 is for OCC as well as SOP?
Charles Malo: You know, we don't see any significant change on the OCC side for sure until the end of the year offers we on the front [ph] of the high generations now and the demand remains stable and not very strong. So there's an abundance of fibers in the market. For SOP, we've seen, as we -- Mario said earlier, some easing in the market conditions recently. Hard to predict what's going to happen. We are looking also closely what's going to happen on the virgin pulp, which indirectly would impact the cost of recycled grades. So I wouldn’t – I cannot really comment too many variables now with regards to virgin pulp. But typically, everybody sees additional volumes coming to the market, especially, in the hardwood by mid next year. So definitely, the fundamentals which should favor promote some easing condition on the virgin pulp next year.
Paul Quinn: Okay. And then just over on tissue. Can you remind me what the 2024 target is? And then I was expecting on the guide a higher Q4 estimates. Just wondering, do we need additional tissue price hikes to be able to get it to get to your 2024 target?
Mario Plourde: Well, Paul, I will answer the first part of your question. The target for tissue was $150 million of EBITDA in 2024. So I will let Jean-David talk about what needs to happen, but that's the target of 2024.
Jean-David Tardif: Yeah. The main driver for us is the productivity. Also we're working really hard to increase productivity on the newer assets that we installed over the last two years and also the Orchids facilities that we're ramping up that was certainly more difficult than expected with all the challenges on labors and the support that we were able to provide and with parts and other and technical support. But the goal is to get back to the 2022 target, which was 68 million cases or so. And as you can see, we're going to finish the year about 60 million cases. So we should be able to go back to the 2022 next year.
Paul Quinn: All right. That's all I had. Thanks very much.
Operator: Thank you. [Operator Instructions] And your next question is from Zachary Evershed at National Bank Financial. Please go ahead.
Q – Unidentified Analyst: Good morning. This is actually Nathan calling in for Zach. Thanks for taking my question. So first of all, other than the challenging macro environment, can you share some details on the tissue profitability progress and maybe some things that should or could be done and that are not being properly executed?
Mario Plourde: Yeah. There's a lot of initiatives going on in tissue for sure, pricing. We made a lot this year. There's still a lot of initiatives on the table with products back, price increases, et cetera. Again, productivity is the main driver is really making more cases. That's going to be the driver for the coming months.
Charles Malo: And by having productivity higher, it will help the cost and the efficiency of the cost throughout the system. So that's a double effect.
Q – Unidentified Analyst: Okay. And now switching over to containerboard. Some contacts are saying that the retailer destocking has continued up until now. So on your end, what's the inventory situation looking like at your retail customers?
Mario Plourde: So I'd say that when I mentioned that we don't see necessarily the seasonal pickup that we usually see. I would even say that we're more in the normal the pre-COVID or 2019. So yes, we are seeing that some of our customers right now are readjusting. Supply chain is now picking up, meaning that it's becoming a bit more normalized. We see that costing is a bit more available. So we know that some of our customers are adjusting, and this is one of the reasons that we believe that the volume are being adjusted, and we don't see the same pickup for this time of the same time of the year. So overall, there are some customers that are still busy and one thing depending on which sector like the food and beverage is still very good. The industrial seems to be a bit more in adjusting inventory at this point. But we will look also at the e-commercial, the growth is still good for us at this point. Maybe one thing that I can add also is when you look at the performance of our growth, our commercial initiatives that we've put in place since this year has been paying off. Also, the investment that we made in certain regions over the last two years are also benefiting Cascades as we speak.
Unidentified Analyst: All right. Thanks for the color. And just one last quick one. In your presentation, it says that there is additional planned downtime excluding the 18k in Q3, is there a certain way we should be thinking about how the rest of that is spread out?
Mario Plourde : Mainly, we've announced that it's mainly focused on one grade, which is right now medium and one of our site, which is in the Niagara Falls, one machine. I mentioned in the past that we are taking actions to balance and watch our inventory level to service our customers. So at this point, this is what we're planning to do to take additional downtime in one of our -- mainly in one of our machines. And we'll take the right decision in the future, but always keeping in mind that we also took the downtime at the less, I would say, performing or contributing machine to maximize the across the profitability of the company.
Unidentified Analyst: Okay. Thanks. I’ll turn it over.
Operator: Thank you. And at this time, there are no further questions. I would like to turn the call to Mr. Plourde.
Mario Plourde: Thank you, everyone, for being with us this morning, and we're looking forward to talk to you for the next quarter. So have a good weekend, everyone. Thank you.
Operator: Thank you Merci! Ladies and gentlemen, this does indeed conclude your conference call for today. Once again, thank you for attending. And at this time, we do ask that you please disconnect your lines.